Operator: Good day, ladies and gentlemen, and welcome to the First Quarter Fiscal Year 2023 Champions Oncology Conference Call [Operator Instructions].  It is now my pleasure to turn the floor over to your host, Ronnie Morris, CEO of Champions Oncology. Sir, the floor is yours.
Ronnie Morris: Good afternoon. I'm Ronnie Morris, CEO of Champions Oncology. Joining me today is David Miller, our Chief Financial Officer. Thank you for joining us for our quarterly earnings call. Before I begin, I will remind you that we'll make forward-looking statements during today's call and that actual results could differ materially from those described in those statements. Additional information on factors that could cause results to differ is available on our Forms 10-Q and Form 10-K.  A reconciliation of non-GAAP financial measures that may be discussed during the call to GAAP financial measures is available in the earnings release. I'll start by pointing out that our prepared comments for today will be relatively brief as we just recently provided our fiscal year-end results and company update six weeks ago.  On that call, I provided an update on the strategic path we embarked on in fiscal year 2022, highlighting the exciting opportunities for Champion over the next several years. Those included growing our core services while investing in other areas such as data and drug discovery. The first quarter was representative of the continuity we strive for, while executing on our strategy.  Our oncology research services business, which includes in vivo and ex vivo studies, along with an extensive array of biomarker assays continues to grow with another record high in our quarterly bookings with a pipeline that remains robust. The continued strength in our pipeline supports our cautious optimism for this year even during these turbulent economic times. We continue to invest in our ex vivo platform, and we believe its development over the year will lead to an expanded product offering and will support revenue growth over the next few years. With regard to our multi-faceted data platform, we have our Lumin software product and our data analytics. The update is similar to the one provided a few weeks ago and repeated on our quarterly calls. Lumin adoption has been slower than anticipated, but we still envision a data play as part of our overall longer-term strategy. Our drug discovery programs are progressing well through the therapeutic discovery stage. More specifically, our partnership with Alloy recently reached a milestone with a completed development of a series of lead antibodies, exhibiting favorable biophysical binding and specificity characteristics. A lead candidate will be selected from this series and evaluated as a potential antibody drug conjugate, which is the first of many potential therapeutic platforms for this program. Over the coming quarters, we will continue to establish additional data sets with the goal of propelling other targets towards the preclinical development phase.  In summary, during the first quarter, our research services business continued to expand and delivered positive financial results while we simultaneously continue to invest for future platform expansion. Our target discovery effort continues to progress, and we look forward to positive development over the course of the year. Now let me turn the call over to David Miller for even more detailed review of the financial result.
David Miller: Thanks, Ronnie. Our full results on Form 10-Q will be filed with the SEC on or before September 14.  Our first quarter revenue was a new quarterly record of $13.7 million compared to $11.3 million in the year ago period, an increase of $2.5 million or 22%. Our adjusted EBITDA, which excludes stock comp, depreciation and amortization expenses was $450,000 compared to a similar gain of $422,000 in the year ago period. Including the noncash expenses, we incurred a small loss of $284,000 compared to a loss of $175,000 in the year ago period. Focusing as we do on adjusted EBITDA results, total cost of sales were $6.9 million compared to $5.3 million in our first quarter last year, an increase of 29%. The increase in our service business cost of sales was primarily from compensation and supply expenses as we ramped up our teams and supply inventory in anticipation of increased steady volume over the year. Additionally, contributing to the increase, our SaaS platform costs were expensed during the quarter, whereas they were capitalized in the same period last year. Our total gross margin for the first quarter was 50% compared to 52% for the period ended July 31, 2021. A minor deterioration in our gross margin was due to the ramping up of our expenses, which are recognized as incurred and in advance of the revenue. For the first quarter, R&D expense was approximately $2.9 million compared to $2.3 million in the year-ago period. The $600,000 quarterly increase is attributed to our stated strategy to ramp up our R&D spend specifically investing in our discovery platform. For the first quarter, sales and marketing expense was $1.6 million, an increase of $120,000 compared to the first quarter of last year.  Our G&A expense was $1.9 million for the quarter, compared to $1.7 million in the year ago period, an increase of $200,000. The increase in the quarter's expense was primarily due to IT computing costs to propel [ph] the growth of the business. We anticipate G&A as a percentage of revenue to decline over the long term. Now turning to cash, for the quarter, cash used in operating activities was approximately $200,000 and was primarily from reducing our accounts payable and accrued liabilities in the ordinary course of business, including the payout of fiscal year-end bonuses. Cash used in investing activities was $754,000 and was primarily for our new lab equipment. With the strength in our bookings and anticipated revenue growth, the cash balance is expected to increase over the course of the year. We ended the quarter with $8.1 million in cash and no debt. In summary, we began the new fiscal year with record revenue, growing 22% year-over-year and our adjusted EBITDA was $450,000 for the quarter. We are excited about the direction of the company and anticipate improving financial results in the coming quarters. We look forward to our next update in mid-December. We will now open the call for questions.
Operator: [Operator Instructions] Your first question for today is coming from Matt Hewitt. Please announce your affiliation and pose your question.
Matt Hewitt: Good afternoon, gentlemen. Senior Research Analyst at Craig-Hallum. So obviously, congratulations on a good quarter. I'm curious and it's kind of maybe the obligatory question, given all of the noise that we've heard regarding biotech funding. What are you hearing from customers? I mean, given the demand, it sounds like you're seeing, it's not there, but maybe if you could give us a little bit of detail, that would be helpful.
Ronnie Morris: Thanks, Matt. Yeah, let me take that one. So I think that it's hard to give you a complete answer as to how we're hearing from all of biotech because, obviously, we work with hundreds and hundreds of customers, but not every quarter we work with every customer. So I would say that -- I mean our pipeline remains robust.  Our bookings remain strong. There is certainly a sentiment out there where people are more careful. It's taking a little bit longer for people to potentially engage us. I think they're spending more time thinking about the studies they engage. But when you work with such a wide group of customers and you have a strong reputation, I think it -- I think in our case, it's helped us weather these times, but there's certainly been a pullback, especially, I would say, of the smaller biotechs, not as much from the large Tier A pharmaceutical companies, but certainly from the smaller biotechs I think there's been a pullback.  But there's still funding out there. There are still companies who have to get work done. There's still lot of activity. So we are -- the way I would describe it, we are cautiously optimistic, but we're keeping an eye on what's going on out there.
Matt Hewitt: That's really helpful. Maybe a follow-up, and I don't know if you would have this handy, even if it's just an approximation. But as you look at your customer base, how does that break down between large pharma and biotech versus the other end of the spectrum on the small biotech and pharma. I mean, it sounds like it kind of runs the gamut, but is there -- does it lean one way or the other?
Ronnie Morris: We, generally, Matt haven't really disclosed that type of information. But I would say, in general -- and I'll let David comment. But in general, it definitely runs the gamut. We're not heavily weighted towards one or the other. The way we kind of look at biotech, it's the top 20 or 30 large pharma, that's like Tier As. Tier Bs are the medium-sized and the Tier Cs are the small biotechs that have one or two compounds or a few programs. And that's kind of the way -- and historically, we've kind of been weighted evenly throughout.  At different times, one will take a little more center stage. But for the most part over the last five, six years, I think it's been weighted fairly evenly across those groups. David, do you want to add anything to that?
David Miller : Yes. Sure, Matt. I don't really don't think there's that much to add. I think that many times we've disclosed that we have a really nice distribution across the entire sector. And we're not beholden to any one group category, customer, et cetera. There really is a very wide distribution in terms of the sales or bookings and ultimately where the revenue comes from.
Matt Hewitt: That's great. That's great and helpful. Maybe shifting gears. I think you touched on this a little bit, but regarding the dip here in gross margins, and this is something we've seen historically. So you've obviously got the costs upfront of the study starting. So you're buying the mice. You're getting the lab resources. Is that essentially it here? Or was there some inflation that is kind of adding on top of that, both of which you'll recover once you've completed these studies?
David Miller : Yes. I think there's certainly a component of that. Also our first quarter is when we -- people receive their raises and then certainly have to take market conditions into account. [Indiscernible] prices are always rising. But I think that there'll be over the course of the year, it will certainly be well absorbed and as you just mentioned, the revenue is anticipated to grow over the year and should be growing at a faster pace than these costs. So the margin should expand.
Matt Hewitt: Got it. And then maybe one more here and then I'll hop back into the queue. But I failed to mention this last quarter, I apologize, but could we get an update on your European lab and how that is progressing from a business standpoint? Thank you.
Ronnie Morris: Yes, sure. So the European lab is finally up and running. It took us, I think, longer in terms of the European regulatory authorities, just getting stuff in order, but the European lab is up and running now. We have between 7 and 10 FTEs at the European lab. And we're starting. I mean, we basically just got it up and running recently in terms of all the regulatory approvals. And now we're starting to book studies and look for work in Europe as well as the United States, which was always our idea that we would be more competitive once we had a site within Europe for some of these multinational -- some of these international trials.  So took longer than expected, but we're now up and running. And we're hoping to see some of the fruits of our labor.
Matt Hewitt: That's really helpful. Thank you.
Ronnie Morris: Welcome, Matt.
Operator: [Operator Instructions] There are no further questions in queue.
Ronnie Morris: Thanks. So just in wrap up, I just wanted to sum it up by saying that we still continue to be very excited about the platform at Champions, that continues to grow and expand, working with many, many pharma and biotech partners and customers and we continue to look for ways to expand the platform. We're excited about the drug development aspect of our discovery as well as a way to continue -- to continue to look for ways to monetize the data that we've amassed over the last many years. So we look forward to updating everybody after Q2, and thank you for joining us for the call. Have a good evening.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.